Operator: Thank you for standing by, and welcome to the Dassault Systèmes Fourth Quarter and Full Year 2013 Financial Results Call. [Operator Instructions] I must advise you that this conference is being recorded today. I would now like to hand the conference over to François Bordonado, Investor Relations. Please go ahead.
François-José Bordonado: Thank you, Joanna. Thank you for joining Bernard Charlès, CEO; and Thibault de Tersant, CFO, for our 2013 fourth quarter conference call. We held our webcast presentation in Paris earlier today and have placed the presentation on our website. Dassault Systèmes financial results are prepared in accordance with IFRS. We have provided supplemental non-IFRS financial information and reconciliation tables in our earnings press release. Some of the comments on this call will contain forward-looking statements, which could differ materially from actual results. Please refer to our risk factors in today's press release and in our 2012 document referrals. In addition, some of the comments we will make with respect to Dassault Systèmes' proposed acquisition of Accelrys, which was announced last week, will contain forward-looking statements, which could differ materially from actual results. In addition, the tender offer described in this conference call hasn't yet commenced, and this material is neither an offer to purchase nor a solicitation of an offer to sell shares of Accelrys' common stock. At the time the tender offer is commenced, Dassault Systèmes will file a tender offer statement with the United States Securities and Exchange Commission, and Accelrys will file a solicitation recommendation statement with the SEC. Accelrys' stockholders are strongly advised to read these documents that will be filed with the SEC because they will contain important information that Accelrys' stockholders should consider before tendering their shares. Please refer to the important information section of the press release announcing the signing of the definitive merger agreement for Dassault Systèmes to acquire Accelrys. I would now like to introduce Bernard Charlès.
Bernard Charles: Thank you, François-José. While 2013 was a year of muted revenue growth, it was an important period of progress for several reasons. From a product perspective just 2 years after setting our next horizon at the 3DEXPERIENCE company, customers are seeing the significant value our industry solution experiences can bring. We are targeting their key business issues by industry on packaging the right processes to help them in a very precise matter -- manner. From a platform perspective, we are introducing our 3DEXPERIENCE platform software processes on more On-Premise and On-the-Cloud for companies of all sizes. We believe on our customers who anticipated in our Lighthouse program are confirming the game-changing value of expanding PLM to a business platform centered on product innovation. And from an architecture perspective, Version 6 is providing itself uniquely positioned to help companies as one version of the truth. We are advancing our purpose of providing sustainable innovation to harmonize product nature on life. So we were honored to be ranked fifth among the world's top 100 leading companies for system sustainability. Turning now to our business review. We made solid progress expanding our market reach. In 2013, we added over 19,500 new clients. Among them are customers adopting our new industry solution experiences, such as China Nuclear -- National Nuclear, to be able to have on a real-time basis a comprehensive view of all project information. On long term, their goal is to manage a nuclear power plant life cycle. Geographic expansion is progressing, as we add resources and additional capacity in target markets. Revenue from high-growth countries increased double-digit 13% in constant currency in 2013 and represented 12% of total revenue coming from a diverse group of industries, including construction, energy, high tech and natural resources, in addition to our core industry. Among them are industry leaders, including Geely, Avic, Doosan, as well as Embraer and others. Geely of China is managing increasing product complexity on accelerating product development with our industry solution experiences. Among the V6 win in Q4, I would like to highlight Doosan Infracore in South Korea. We selected our single source of speed industry solution experience. They are targeting to deploy to several thousand users to improve global collaboration by federating all R&D related processes. Turning to an industry view, 25% of software-end user revenue was generated from new industries in 2013 on a larger percentage of new licenses revenue. Among our largest deals for -- of the fourth quarter were new license transactions from 5 different industries: High Tech, Consumer Packaged Goods, Industrial Equipment, Aerospace and Defense and Transportation and Mobility. Kimberly-Clark is developing -- is deploying [indiscernible] to improve visibility on production, weight, equipment downtime and -- to improve quality control. Now let me come back to our roadmap for growth. As I said last quarter on the -- last week, sorry, on the Accelrys conference call, everything we are doing is precisely according to our vision, purpose and strategy. Two years ago, we revealed our goal to double our addressable market by expanding our work further as we have done 3 times before, expanding from PLM to 3DEXPERIENCE. As part of our market vision, we broaden our purpose to address product, nature and life for sustainable innovation. And we move forward with a new strategy to accomplish this. Our Social Industry Experience strategy. There -- these are not simply words, they are at the heart of how we have designed our 3DEXPERIENCE platform and software processes. The world is social, so we have capabilities to enable this with our new user interface, extremely intuitive, with mobile application and with the ability to work On-the-Cloud and On-Premise, you choose. Second, we are focused on industries. So we took our product portfolio and changed it, so customers are buying solutions. We want to very precisely target their key business processes in each major domain of product innovation. And third, we are in the experienced economy, and it is consumer-driven. To deliver the most successful product experiences, you need to bring your end consumer in the -- to the beginning of your innovation process and all the way through to the selling experience. As a result, we are designing our solutions with software, service and content because that is precisely what our customers want. Now this is our strategy. What do our customers think? We are seeing clear responses from clients on prospect to our strategy. MeadWestvaco is leveraging our industry solution experience to speed time-to-market for its customers and compress the time to innovation of its consumer-centric packaging strategy. If you go on their website, they will -- you will see them speak about their strategy on how Dassault Systèmes is helping them provide a packaging experience to drive consumer loyalty for its customers, the world's most admired brands. We are expanding into digital marketing with the acquisition of Realtime Technology, called RTT. It fits perfectly into our strategy to support customers from ideation to sales and consumer experience. RTT first began working with engineering department on -- as its capabilities are being revealed. It now does over 75% of its revenue with marketing and sales team. When you look at the marketing and sales budgets today, a large amount is still devoted to traditional marketing. It is clear that more of these budgets will shift to digital marketing. Why? There is simply because digital marketing gives a much better return on investment and enable digital continuity from design to selling experience. RTT has an excellent roster of automotive companies. While 80% or so of its revenue is with automotive companies, we see its market penetration in this industry still at the early stage. In addition, RTT has developed relationship with Aerospace and Consumer Goods companies, from which to grow its industry positioning. Following the successful Lighthouse program, which we have conducted over the last 6 months, we are shortly launching 3DEXPERIENCE release 2014x. This is a very major release from several perspectives. First, while introducing our 3DEXPERIENCE platform, bringing to companies a business platform for product innovation. As we discussed on our call -- last call, we are introducing a completely new user interface, dashboarding, search and analysis capabilities on a platform for social, collaborative innovation. Release 2014x is about providing end-to-end support of the innovation spiral in our targeted industries and targeted domains. It is On-Premise, On-the-Cloud for companies of all sizes. This is a significant cloud offering, representing about 1/3 of the number of processes we plan to offer in total. We have simplified product packaging and ensured that what we offer is well-aligned with industry processes. We are introducing SOLIDWORKS Mechanical Conceptual, the first SOLIDWORKS product on the 3DEXPERIENCE platform. One of our Lighthouse companies working with it, Carl Smith, told us that they can see the opportunities to significantly reduce their sales cycle time. Two weeks ago, we jointly announced with Accelrys our intent to come together. We are taking a step forward in our dream to harmonize product, nature and life. Accelrys, headquartered in San Diego, is participating in the scientific innovation lifecycle management market for chemistry, biology and materials. It is focused on providing solutions that address the needs of organizations that rely on science to innovate in their products and processes. Its customer base includes many of the Fortune 500 companies and in total includes more than 2,000 customers spanning pharma, biotech, chemicals, consumer packaged goods, high tech and manufacturing. Accelrys is a company that our customers have been encouraging us to acquire for some time, so the announcement last week was well received by them. Now let me turn the call to Thibault.
Thibault de Tersant: Thank you, Bernard. Good afternoon, and good morning to all of you. In total, our fourth quarter financial results were in line with our objectives. Compared to the third quarter, we saw several positive signs. With SOLIDWORKS, unit sales growth of 5%, with Asia returning to a solid performance and high-growth countries delivering 13% revenue growth. And with Version 6 new transactions rebounding from Q3, representing 27% of related PLM new licenses revenue. Looking at our 20 largest customers, about 1/2 are engaged in Version 6 deployments. Reviewing our key figures of fourth quarter. Revenue increased 5% with recurring software, somewhat better in new licenses, and services weaker than we expected. Converting pipeline to sales remain difficult in the fourth quarter. Our operating margin was 34.9%, slightly higher than the year ago period. And EPS was EUR 1.01, also in line with our EUR 0.97 to EUR 1.02 objective range. By product line, we saw the strongest revenue performance in the fourth quarter from our specialized applications in simulation and in manufacturing. In addition, SOLIDWORKS software increased 7% with year-over-year sales [ph] growth. ENOVIA posted software growth of 5% with new customer wins and Version 6 deployments. And while -- although CATIA software revenue decreased, sales in Asia for CATIA were strong. For the full year, our revenue was EUR 2,017,000,000, representing an increase of 5% in constant currency, including 2 points from a key acquisition net of the divestitures of business partner activities. On a regional basis, Asia was the strongest performer, led by India and China, and this was the case in Q4 and for 2013 in total. In the Americas, we saw an increase in new licenses revenue in Q4 and from an industry perspective, a good level of activity in life sciences. In Europe, we saw a better performance in the United Kingdom and Southern Europe. It was tougher in France and Germany, where we have, first of all, a very strong base of competition [ph], as well as in software, and software spending environment. In 2013, our software revenue performance was driven by a solid recurring software revenue growth, increasing 6% in Q4 and 8% for the year. Despite the soft macro environment, we saw strong maintenance traction with our customers across all of our software solutions, leading to high renewal rates. This was also the case in mining. Rental revenue reflected a mixed dynamic, an increase in rental activity with SMB customers on top of the strong growth we saw here in 2012. SIMULIA, a key contributor to rental revenue, also had a very nice performance again in 2013. Some of our largest customers are on rental to also enable them to address their software spending, both upwards and downwards through their workload variations. New licenses revenue was flat in the fourth quarter and decreased 2% for the year. Turning now to services. Revenue increased 8% for the quarter and 4% for the year, benefiting from acquisitions. We have a number of important Version 6 service engagements under way. From a financial management perspective, our gross margin for services increased 6.2 percentage points to 11.9%. Turning now to our operating margin. It is really a story of organic growth. This growth is helping us navigate multiple headwinds. Looking at the year in total, the operating margin was 31.5%. We are pleased with our performance as we had 3 headwinds: the macro environment, acquisitions and currency. In comparison to 2012, where our margin was 31.6%, this was a stable performance, but in fact, we made organic improvements in our operating margin. And specific to the yen, our hedges helped protect us during 2013, mitigating what would otherwise have been a significant impact. Turning to our earnings per share results. They were lower by 1% in the fourth quarter, with a 4 percentage points impact from currency. For 2013, EPS increased 4%, and excluding a similar 4 point currency headwind, EPS growth would have been about 8%. Now let's move to a discussion of our cash flow and balance sheet. Over the last 4 years, we've had a significant growth in our cash flow from operations, crossing the EUR 0.5 billion milestone in 2012. We achieved this strong performance from revenue growth, operating margin expansion and operational improvements. During 2013, we delivered a strong level of operating cash flow at EUR 507 million versus 2012 performance of EUR 566 million. However, if you look at the most important items, net income adjusted for noncash items increased 4% to EUR 524 million, and unearned revenue increased 6% in constant currency, excluding acquisitions. So you can see that the key factors are moving in the right direction. And looking at DSOs, we maintained them at a level comparable to the year ago period where we had made very significant process improvement in accounts receivable management. So all in all, I believe the performance is well in line. Turning to capital deployment. It was consistent with the priorities we have shared with you. First, we are focused on advancing our social industry experience strategy and our expanded mission encompassing products, nature and life. It has been an active period for acquisition, complementing our internal initiatives in research and development. Acquisition investments totaled EUR 213 million in 2013, net of the cash acquired. Second, returning net income to shareholders is a core belief, and in 2013, we shared more with an increase in the dividend amount by 14%. From a cash perspective, dividends paid totaled EUR 35 million, and about 2/3 of the shares held elected to take the dividend payment in the form of stock. Third, we spent EUR 57 million on repurchases while also receiving about EUR 40 million in connection with stock option exercise. And finally, our capital expenditure in 2013 totaled EUR 42 million. So we ended 2013 with a net financial position of EUR 1,440,000,000 up from EUR 1,200,000,000 in 2012. Now let's move to 2014. First, new licenses revenue, we anticipate the return to growth in constant currency in 2014 beginning in the second quarter. We are assuming a similar environment in the first quarter compared to Q4 of 2013. For the full year, we see the potential for double-digit new licenses revenue growth in constant currency. Recurring software revenue is expected to show a normalized evolution. In total, we are targeting a revenue growth range of 10% to 11% for 2014. Turning to our operating margin. The outlook for 2014 reflects 2 major factors: first, we have dilution from acquisitions; and second, we have the impact of the yen. Combining these 2 factors represent a 250 basis points estimated impact. But instead, we are targeting a non-IFRS operating margin range of 30% to 31%, compared to the 31.5% achieved in 2013. Nothing is wrong with our math. We are targeting to generate an organic improvement in our operating margin between 1 and 2 percentage points, which will largely mitigate the dilution from acquisitions, but will not fully compensate for the yen. Our hedges, with respect to the Japanese yen, have a hold-off and we're not able to replace them at meaningful levels. Assuming the yen exchange rate of JPY 140 per euro, the negative impact to our operating margin is estimated at 130 basis points for the full year. We are in a period of heightened acquisition activity, and as we have mentioned, most software companies do not have an operating margin similar to ours. The diluted impact from acquisitions is estimated at 120 basis points. Looking back in 2009, our non-IFRS operating margin stood at 25%. So we have expanded our operating margin by 650 basis points over this period. And looking forward over the midterm, we would expect to recommence our operating margin expansion towards the 35% level. With respect to non-IFRS earnings per share, we are setting a range of EUR 3.40 to EUR 3.50. Two key factors are impacting our performance here: the 2 percentage points estimated increase in our effective tax rate representing a $0.10 negative impact; and the yen representing a $0.21 negative impact and about $0.02 from the U.S. dollar. Excluding these external headwinds, our non-IFRS earnings per share range would have been EUR 3.73 to EUR 3.83, representing a 7% to 10% increase. For the first quarter, we are expecting revenue growth of between 5% and 7% in constant currency and more pronounced headwinds to operating margin and earnings per share from tax and currency. Let me now turn the call back to Bernard.
Bernard Charles: Thank you, Thibault. It's clear that our strategy is meeting [ph] with clients and users. We saw this in our Lighthouse program and at the SOLIDWORKS annual conference in San Diego 2 weeks ago. The acquisitions we have undertaken to support the strategy are all being well received by customers most recently following our announcement last week with Accelrys. It really is quite gratifying to have large clients say, "This is great news for us as your client. When can we talk?" Turning to the year ahead, we anticipate reacceleration of organic new licenses revenue growth in 2014. We have several reasons for our expectations here, one of which is the V6 deployments going live over the course of the year. For EPS growth, it will be a difficult year given the negative impact of the yen. Having said that, I believe we are creating significant additional value for our shareholders with our social industry experience strategy and our positioning Dassault Systèmes on a much larger addressable market by industry and by users across companies. Finally, let me talk about people. Our ambition -- ambitious roadmap cannot be accomplished without possessing a deep talent pool and adding to that talent network with the acquisitions we are undertaking and with key hires. As the CEO, one of my primary objectives is to ensure that we reveal on leverage the amazing capabilities possessed by our employees across all areas of Dassault Systèmes and that we work in a social and collaborative fashion to support and advance our own innovation spiral for the benefit of our customers, shareholders and ourselves. Thibault and I would be happy to take your questions now.
Operator: [Operator Instructions] Your first question comes from Charles Brennan.
Charles Brennan - Crédit Suisse AG, Research Division: I actually missed the beginning of the call, so I apologize if you addressed this. But I'm just struggling to work out exactly what's baked into your guidance. If I think about the natural growth in the recurring maintenance revenues and think about acquisition contributions, I struggle to get to 6% to 10% organic growth. You say it's factored in. Can you just break some of those component parts down for us in a slightly more granular fashion that helps us understand it a little bit more?
Bernard Charles: Thank you for the question. Thibault, do you want to take it?
Thibault de Tersant: Well, our target, excluding currency, is a total growth of 10% to 11% for total revenue. As part of it, what we're targeting is a double-digit new license growth. I suggest that -- suppose your question is also to see what belongs to acquisition and what is organic. And so from an organic standpoint, total revenue as part of this is about 6%. And as part of the 6%, the recurring should grow between 5% and 6%, it's 6% to 7% in reality, and new licenses should grow between 6% and 10% organically.
Charles Brennan - Crédit Suisse AG, Research Division: Sorry, can you just clarify the recurring, growing at 5% to 6%, so that's 6% to 7% in reality? What was that comment?
Thibault de Tersant: That is the organic portion of the recurring. It's essentially the continuation of the parent in Q4 [ph], and it's really the normalized growth of recurring that we can expect.
Charles Brennan - Crédit Suisse AG, Research Division: Maybe can you just help us with the exact acquisition contributions? I've got EUR 20 million in for the first half contribution for Apriso, and I'm working off 11 months of EUR 85 million for RTT. Are those numbers sounding reasonable or my acquisition contributions incorrect?
Thibault de Tersant: How much did you say for RTT, I'm sorry?
Charles Brennan - Crédit Suisse AG, Research Division: I'm using EUR 85 million as a sort of full year number and assuming that you capture 11 months of that.
Thibault de Tersant: That's right. You are very correct, Charles. And so you can see that it computes exactly as I said.
Charles Brennan - Crédit Suisse AG, Research Division: Yes, okay. I have to go through the maintenance calculation in more detail then. And secondly, can I just ask a question about RTT? I think the 2013 revenue number has ended up looking slightly disappointing. It's certainly disappointing against the Bloomberg consensus expectations for revenue. It seems to imply that second half revenues were down year-on-year in RTT, is that correct? Are there any specific factors there? And how should we think about that sort of a momentum into 2014?
Thibault de Tersant: Yes, the RTT growth for 2013 in total was 13%. It is true that the fourth quarter of RTT was slightly difficult. It's probably foreign company of this size, not completely neutral to have to manage an acquisition process. So you are right. This is an outcome which is below what was the consensus for RTT. With all [ph] the growth potential for RTT is absolutely there, with lots of needs for marketing departments to go digital.
Bernard Charles: And the acquisition was extremely well received by older customers, so they are very positive about the move.
Operator: Next question comes from John King.
John P. King - Barclays Capital, Research Division: I've just got 2. Just one on the business services sector that you break out. I think that decreased as a proportion of total revenues. I previously thought of that is being one of your growth drivers. So if you could clarify a little bit the growth in business services. And the second one, and I hate to do this, Thibault, but on the Q1 again, similar question to the last one about breaking down maybe the assumption on organic licenses. Obviously, you're implying that those are going to be declining still in Q1. But it just seems like quite a big implied declined to get to the range that you've given. So if you could give any comments as to what you think Q1 licenses will do in advance of the -- obviously the new product launches, which you're thinking will catalyze the growth in the rest of the year?
Thibault de Tersant: So services first. Yes, it's a slight decrease because services grew by 4% for the year, compared to 5% of total revenue. But services also grew 8% in fourth quarter, so it's not completely unnatural. Our strategy in services is to rely more and more upon system integrators and focus what we do more on consulting than implementation. Of course, the profile is going to change in 2014 because a good -- great portion of RTT revenue is going to be classified in services. But for 2013, the trend is really that we started this evolution towards more reliance upon system integrators. First quarter organic growth in licenses, the assumption we have for growth in new licenses for 2014 is based on multiple factors. I mentioned them already, but SOLIDWORKS, Version 6, R2014x play a big role in this, more important than the economic backdrop. And so these factors are going to enter and to shape progressively during the year. This is why the first quarter is more conservative than the remainder of the year. Having said that, it's, of course, easier to do a revenue guidance for the full year because it's based upon customer budgets and projects rather than predict exactly when the decisions will happen in a quarter. So I don't want to overemphasize the guidance of first quarter compared to the remainder of the year. But you're right. The guidance we gave, we are not planning on growth in new licenses in first quarter, but to gain, this is based upon the progressive effect of our growth drivers during the year. And also the fact that we believe the acceleration takes some time because our sales cycle time is an average between 6 and 9 months. So it takes a little bit of time to go back to the significant growth in new licenses we are targeting for the full year.
Operator: [Operator Instructions] Your next question comes from Tel Grant [ph].
Unknown Analyst: A couple from me. Firstly, what percentage of recurring sales came from rentals in Q4 and for the full year, please? And secondly, what impact did the appraisal in Inceptra acquisition disposal have on Q4 product sales?
Bernard Charles: Thank you for the question. The first question is rental.
Thibault de Tersant: Yes, so the proportion of rentals in recurring is 22% for the full year, 23% for Q4. Appraisal in Inceptra on software revenue have a 1 point impact in Q4. So our Inceptra revenue grew by 4% in Q4, and without these 2 impacts, would have grown by 3%.
Unknown Analyst: Okay. And finally for next year, so you gave the Apriso and RTT for next year. What about for Q1? Not just for the full year. The impacts in Q1?
Thibault de Tersant: Well, the impact is essentially the same as for the full year for RTT. It's relatively normalized revenue. So in total, there is, for first quarter, probably close to 5% impact.
Operator: Your next question comes from Susan Anthony.
Susan Anthony - Mirabaud Securities LLP, Research Division: Susan Anthony of Mirabaud Securities. If I can ask sort of a larger question. I appreciate the reasons why you think the market is ready for the solutions that you have to offer and that you've got good customer feedback. But thinking both the full year this year and if we look further out, what do you think the major risks are that you might not achieve your ambitions, whether it's internal execution, whether it's acquisition integration, whether it's customers actually not being -- not spending as quickly as you hope, or something else?
Bernard Charles: From -- thank you for the question. From the execution spend -- the readiness of the solutions, I think we are -- or the portfolios at large, what has been done in 2013? So last year in the second half for the customer Lighthouse program, we believe we have reached a level where the readiness of the product on solutions for this year are -- is at a very good level. This year we do not have any special dependencies on integration. First, because this is for the longer term. So I think the risk is more on -- by the way, we have initiated large global deployment of the V6 architecture, as mentioned this morning in the press release. And Thibault mentioned 10 of the 20 biggest customers are already engaging this deployment. So I think it's going to be more the speed of deploying and replicating those successes. Last year, which could have been better, would we have been able to replicate successes faster. So I think there are good news and bad news about last year. The good news is incredible showcase from industry solution experiences with real value to customers and therefore, higher level of transaction. However, the frustration is not replicating fast enough in the way we can scale around the world. So we have put a lot of attention on that topic at the beginning of this year in the past weeks to prepare our sales force to be more efficient in the way to replicate what we know works extremely well with customers. For us, that's the biggest challenge, I would say. Is it a risk from failing in doing what we have announced this morning? I don't think so. But we have, in some way, been accused to be too conservative, and we have taken that stand because we believe we need to prove to ourselves that we can replicate in a faster path than what we have done last year. And that's why we think that the next quarters will help us build up this level of confidence for ourselves. And then it is the jargon [ph], I think we will be all happy.
Susan Anthony - Mirabaud Securities LLP, Research Division: So how soon do you -- would you be able to tell whether the salespeople has learned enough to be able to replicate your successes as fast as you hope? Is that something that we won't see till second half of the year or would you expect it to bear fruit a bit more quickly?
Bernard Charles: No, I don't think -- I think the reality is we will have better visibility on that by around mid of the year because first of all, provided the cycle in which we are, provided the new cloud solutions, which are being available on February 24, we will have 4 months of visibility, which is at least what we need.
Susan Anthony - Mirabaud Securities LLP, Research Division: Okay. And then just quickly, SOLIDWORKS is a good leading indicator for you. What is the lag between the SOLIDWORKS revenues materializing and that showing up elsewhere in the business? Is it another sort of 3 to 6 months or...
Bernard Charles: Yes, about that. Of course, this is also dependent on product cycle because they do not have necessarily the same -- I mean, all the products don't have the same product cycle. So the deployment of V6, for one, and the deployment of the 3DEXPERIENCE platform are really now in a stronger position than what it was last year because of the experience we have learned from this initial deployment, which are already done. So -- but roughly between 3 months and 6 months is good indicator.
Operator: Your next question comes from the line of Charles Brennan.
Charles Brennan - Crédit Suisse AG, Research Division: Sorry to come back to the idea of maintenance growth, but I'm struggling to get the modeling assumptions right. First cut, I come out with a slightly higher rates of maintenance growth that means that it depresses the license requirements. When I look at my maintenance, I assume 97% renewal rates, and I assume that all new licenses attract maintenance at 20%. Are those the right numbers to be plugging in or have I got some of those fundamental metrics wrong?
Thibault de Tersant: It is, with the exception of SOLIDWORKS, where the renewal rate is more like 80%. There's another manner to look at maintenance, which is to start from what we did in fourth quarter. Neutralize some adjustments in fourth quarter for large accounts where we deal for usage during the year. And then from that new base, which is lower by EUR 6 million if I remember well, apply the normal growth quarter-to-quarter of maintenance, which should be in the neighborhood of 2% per quarter.
Bernard Charles: Okay. With that, thank you very much for participating to this call and to the presentation this morning. And of course, we stay at your disposal to address your questions in any way you want. And have a good day and talk to you soon.
Operator: Thank you. This does conclude the conference for today. Thank you for participating. You may now disconnect.